Operator: Welcome to the UPS investor relations first quarter 2008 earnings conference call. (Operator Instructions) It's now my pleasure to turn the floor over to your host, Mr. Andy Dolny, Vice President of Investor Relations.
Andy Dolny: In a moment, Scott Davis our CEO, and Kurt Kuehn our CFO, will discuss first quarter results and expectations going forward. Before they begin, however, I’ll briefly review the Safe Harbor language. Some of the comments we’ll make today are forward-looking statements that address our expectations for the future performance or results of operations of the company. These anticipated results are subject to risks and uncertainties, which are described in detail in our 2008 Form 10-K report. This report is available on the UPS Investor Relations website or from the Securities and Exchange Commission. Today’s call is being webcast and will also be available on our Investor Relations website. Before I turn the program over to Scott, I want to point out that there was an aircraft impairment charge of $181 million in the quarter that reduced operating profit in the U.S. domestic package segment. This resulted from the earlier than planned retirement of UPS's entire DC-8 fleet of 44 aircraft. Retiring these aircraft will give us the most modern, fuel efficient and noise compliant fleet in our industry. The after tax impact of this charge was $116 million or $0.12 per share. Excluding the impairment, adjusted earnings per share are $0.52. This is the amount that Scott and Kurt will refer to in their comments this morning. Reconciliation of this adjustment to comparable GAAP measures is explained in the schedules that accompanied our earnings news release this morning. The schedules are also available on the UPS IR website in the financial section. For the quarter, you'll also notice our effective tax rate was a little higher than expected. This was due to evaluation allowance we recorded during the quarter, which should have no impact on our expected tax rate of 36% for the reaming quarters in 2009. To begin our review of the quarter, I'll turn the program over to Scott for opening comments.
Scott Davis: In the first quarter, the global economic downturn intensified. In fact, forecasted GDP growth in 2009 for the top UPS markets is now expected to be less than last year and is negative in all but two, China and Poland. Looking at the U.S. of most interest to us is industrial production, which for the first quarter fell 20% quarter-to-quarter and 11.7% year-over-year. The second quarter is expected to be modestly weaker than the first. We anticipate second quarter GDP will also decrease quarter-over-quarter, but at a much slower rate than the decline we saw in the last two quarters. Hopefully, we will hit bottom later this year and begin seeing growth at the end of the year or early next year in the U.S. On the international front, Asia should see improvement in the same timeframe, but certainly at different degrees in different countries. Europe most likely will lag the rest of the world in the pace of its recovery. Against this background, I'm pleased to say UPS is managing its operations effectively. While we're certainly not happy with the declines in revenue and profit, we do have a number of bright spots. Both our U.S. domestic and international package businesses gained market share and continue to generate industry leading margins. Our revenue enhancement and cost containment efforts are bearing fruit. Service levels in all our businesses are at all time highs. Our financial strength proved beneficial in support of a very successful debt offering during the quarter. And many of the operational and process changes we're implementing to meet today's challenges are producing results now and it will remain effective when the business environment improves. All in all, UPS will emerge from these difficult times as a more efficient finely honed enterprise. In the midst of this worldwide recession, no one should lose focus on the importance of global trade. It is one of the most important tools we have to help lift us out of this financial crisis. In fact, at the risk of oversimplifying, it may be the very most important tool. The fragile global economic conditions we're all dealing with raise a serious danger of increased protectionism, as individual countries seek to bolster their own economies without regard to broader implications. Global trade has fostered two decades of dramatic growth and increased prosperity in countries everywhere. Now is not the time to back away from the progress that has been achieved in the mistaken belief that any one economy can regain strength independently of the rest of the world. Now, for a few comments on our dealings with DHL, in light of DHL's reduced airlift needs, we were unable to reach an agreement that made financial sense to UPS; therefore, we mutually agreed to terminate the negotiations. However, UPS has been successful in our efforts to attract former DHL customers in the U.S. domestic market. Kurt will provide details shortly. The changing competitive environment offers UPS significant growth opportunities. Our balanced worldwide presence, broad product portfolio, financial strength and knowledgeable dedicated personnel are a combination no other player in this industry can match. Customers, both present and future, will benefit from this unique value proposition. Before I turn the program over to Kurt, I want to take a moment to thank UPSers for their dedication and hard work. They are achieving exceptional service levels throughout all areas of the company continuing to strengthen our customer relationships. This is particularly important in a business environment like the one we have now. Here's Kurt to review the quarter's results.
Kurt Kuehn: Our earnings per share of $0.52 were at the low end of the range we provided last quarter reflecting today's tough economic environment. I'll begin my review with the U.S. domestic package operations. First quarter package volumes continue to be weak with little sign of the typical seasonal buildup prior to Easter. Volume gains from the departure of DHL from the U.S. domestic market only partially offset the impact of worsening economic conditions. Package volume for the quarter declined 4.3% with ground down 5% and air down less than 1%. Although we believe trade down in premium products have slowed a bit, DHL wins exaggerated the improvement. In fact, excluding DHL gains, next day air volume declines would have been only moderately better than in the fourth quarter. The drop in revenue per piece resulted from the significant reduction in fuel surcharges as the lagging index caught up with declining fuel prices. This was particularly apparent in the air products where fuel surcharges were down more than 15% year-over-year in the quarter. As I told you three months ago, when fuel surcharges rapidly escalated, we did discount base rates in some cases to preserve the surcharge. We are cycling through the contract negotiation process to pullback some of these discounts. However, today's economic environment does make this a bit challenging. Lighter average weight per package and changes in our product mix also contributed significantly to the revenue per piece decline. For example, domestic package weights dropped 8% with next day air down almost 14%. The shift in mix away from premium products negatively impacted yield as well. These trends, along with a decrease in volume, eroded margins across all products. And even though we've made substantial adjustments to our network, margins will remain under pressure until economic conditions improve. We are managing our operations well in the face of declining volume. For example, labor hours and miles driven were both down over 5% and domestic block hours decreased about 6%. Our cost initiatives are producing results also, excluding fuel, other operating expenses declined over 10%. Our U.S. workforce has been reduced by more than 10,000 employees, 80% of whom are from the direct labor workforce. However, savings in direct labor hours are being mitigated by the fact that wage inflation for this group has increased due to a higher percent of our employees at the full seniority rate. In the quarter, UPS expanded our service offerings to help customers better address their transportation needs. We extended the guaranteed early morning delivery territory in the United States to more than 23,000 zip codes. UPS now delivers overnight by 10:30 or earlier to more businesses in zip codes than any other transportation carrier. Additionally, we also announced a new flexible returns program that allows consumers to return items shipped via UPS by placing them in their own mailboxes for pickup by the U.S. Postal Service to forward eventual transfer to UPS. There is strong customer interest in this program. Before I move on to the international segment, I want to shed a little more light on the impact of DHL's departure from the U.S. domestic market and then comment on the retirement of our DC-8 fleet. We are pleased with the results of our sales efforts targeted at winning DHL domestic business. UPS captured a little more than half of the revenue, with the remainder split among our competitors. Although we pursued all DHL volumes aggressively, we put less focus on the lightest weight very low revenue packages. Even so, DHL volume wins had an average weight that was just a little more than half the UPS average package weight. Because the market recognizes the greater value we deliver to customers, we added this new volume at rates 10% to 15% higher than typical DHL rates. We did see some former DHL customers manage their shipping costs down by changing modes, and as a result UPS actually saw a greater increase in ground volume than air. DHL volume came on stream throughout the quarter and there is still opportunity for additional DHL wins as we focus more on U.S. imports and exports leveraging our tremendous advantage in the U.S. Turning now to the early retirement of our entire DC-8 fleet, basically our air network requirements have changed. Package volumes have declined due to the economy. Our Worldport expansion allows more volume to be processed through this centralized hub and optimization of our network has reduced gateways and allowed us to close regional sorts. These factors, combined with the decision to not provide airlift for DHL packages, have made the DC-8 aircraft unnecessary. Therefore, we are retiring the fleet earlier than planned, which will result in operating cost benefits going forward. This is part of our ongoing efforts to modernize our air fleet which have given us the youngest most fuel efficient air fleet in the sector. Now, let's look at the international segment. Volume declined 1% with domestic volume essentially flat and export volume down 1.8%. The timing of Easter aided both products by about 2%. Compared to the double-digit market declines, UPS again realized significant market share gains. Revenue per piece, though, was down over 15% with currency having the most significant impact, although currency had a minimal impact on international operating profit as a result of our hedging activities. Excluding currency, revenue per piece was off 9.3%, the result of mix changes, reduced fuel surcharges and lower weights. Package weight declines accelerated during each month of the quarter and this was evident in all regions, all industry sectors and across all products. We anticipate that these trends will continue throughout the year. Operating margin for the segment was 13.1%, although lower than our historic levels, it is the best in the industry by far. As we have mentioned in the past, our international cost structure is somewhat less variable than our US network, therefore, cost control in international is a very high priority. The initiatives that we discussed in the last quarter are starting to produce cost savings in our network. For example, international block hours dropped over 12% in the quarter, the largest reduction in our history without impacting our service footprint. Also our non-operating cost declined over 5%. At the same time, we are aggressively pursuing the advantages created by our balance global network, and that's why we're seeing high bid volumes and bid wins among new customers while retaining current customers. Our extensive product portfolio, paperless invoice and robust returns capabilities, and one contact person for all service types are driving our successful market penetration efforts. Turning now to the supply chain and freight segment, revenue was down almost 20% with all business units experiencing declines. The operating margin of 2.3% was about what we saw in the fourth quarter despite the fact that both the global freight and LTL markets deteriorated during the quarter. Forwarding and logistics experienced only minimal impact on operating margins as they successfully reduced cost commensurate with the decline in their revenues. New wins in the healthcare and high tech sectors helped to bolster the logistics unit. Our continued investment in healthcare and expansion of our product offerings in this sector are paying off as we continue to attract new customers. In a worsening LTL environment, UPS freight posted declines in revenue and tonnage but shipments per day were basically flat. Growth did strengthen sequentially through the quarter, although pricing did not improve. We did capture new business through cross-selling activity and leveraging our investment in UPS freight technology. We're experiencing increases in world ship deployments and in the number of daily shipments that are managed via our Quantum View visibility tools. All in all, UPS freight realized share gains in the quarter, although this is certainly a case of less bad than most. Before addressing our expectations for the second quarter, I want to review our financial position. Free cash flow for the quarter was $1.9 billion, an increase of more than $200 million over last year, excluding the impact of tax refunds in 2008. This increase was achieved through a significant reduction in capital expenditures and through excellent management of working capital. In the quarter, UPS invested $382 million in capital expenditures, spent $113 million to repurchase 2.5 million shares, and paid dividends of $449 million maintaining our $0.45 per share dividend. Our intent for 2009 is to repurchase shares at a rate that will at least offset dilution from stock-based compensation. At this point, sustaining the dividend is the higher priority than expanded share repurchases. Another financial highlight of the quarter was our successful $2 billion debt offering. We offered $1 billion each in five-year and ten-year debt, both of which were substantially oversubscribed at coupons of 3.875% and 5.125% respectively reflecting UPS's broad access to markets at a low cost to capital. Proceeds will be used primarily to retire commercial paper. And now for our outlook, current consensus forecast project economic conditions will worsen slightly in the second quarter with both GDP and industrial production expected to be a bit weaker than in the first quarter. In addition, the timing of Easter will have a negative impact on second quarter results most notably in the U.S. and Europe. We anticipate that U.S. domestic package volumes will decline 4% to 6% versus last year with the lighter weight trends continuing until industrial production rebounds. Domestic small package margins will be challenged due to mix ship, lower weight packages and reduced volumes. International export volume is expected to decline about 3%, but we should see some margin expansion over the first quarter as a result of the segment's cost initiatives. The supply chain and freight segment is anticipated to show improvement in revenue and operating margin over the first quarter, but will still be below last year's results. We remain vigilant about taking costs out of our operations. In fact, we've identified additional initiatives that will produce approximately $300 million in savings bringing total savings from our initiatives to well over $1 billion for 2009. These initiatives span the entire enterprise and involve operational changes that increase efficiency, procurement improvements and better use of facilities, and they are in addition to the way that we manage our business on a daily basis. We've also further reduced our CapEx budget for the year by over $200 million bringing the total to just below $2 billion. This budget still provides for capital investments in strategic growth opportunities like China, Worldport and our healthcare facilities in Puerto Rico and Europe. Given all this, earnings per share should be within a range of $0.45 to $0.55 for the quarter. This range reflects our expectation that the second quarter will be a bit more challenging than the first. Clearly, these are extraordinary times. We're making the difficult decisions and implementing changes to respond to these unprecedented conditions. At UPS we've managed through 20 recessions over the past 100 hundred years and we're confident that we will emerge stronger and more competitive when the economy turns around. With that, Scott and I will be happy to answer your questions.
Operator: (Operator Instructions) Your first question comes from Gary Chase - Barclays Capital.
Gary Chase – Barclays Capital: Just a couple on the progression from the first quarter into the second, how would you define what the biggest challenge was? Has it been the weight erosion to the quarter, because it looks like volumes came about in line with where you thought towards the bottom end of the range? At one point you thought this second quarter would look up relative to the first. So it feels like something sequentially changed as you moved through the quarter. Was that just the weight issue or was there more to it?
Kurt Kuehn: Really, Gary, the trends across the first quarter were fairly stable. January there was some challenges with weather. It's a little noisy because the Easter holiday had a much bigger impact in the first quarter last year whereas it'll hit the second quarter this year. So all in all, domestic trends I would characterize as very low but fairly stable. We do think the economic statistics will show a slight decline from Q1 to Q2, although the rate of rapid decline clearly seems to be stabilizing. So the Easter impact puts a little bit of a headwind into Q2 versus Q1 and that's really the major difference and why we think Q2 will be modestly more challenging than Q1.
Scott Davis: Now the industrial production numbers, Gary, were obviously horrible in the first quarter and while clearly the declines won't be nearly as bad in the second quarter, we still expect them to decrease. Whenever industrial production decreases, it will continue to challenge the weight of our packages which does put pressure on us.
Kurt Kuehn: Gary, one other comment I guess is, as I mentioned in my prepared remarks, we did complete a $2 billion bond issuance late in March and we're very pleased with the coupon rates we got, but we are going to see going from 30 or 40 basis points with the very attractive commercial paper rates a 400 plus basis point increase and interest expense on that. So that alone adds another $25 million or so expense on the P&L side, although, clearly it locks in some great rates for a long time.
Gary Chase – Barclays Capital: Okay, then if you just look at the line items that, the cost line items that weren't effected by fuel, so you take out purchase transportation and obviously fuel expense, looks like those were down somewhere in the 5% to 7% range on a revenue decline of 13%, 14%, how far through the cost reduction process are you and what might that look like as you have more time to address this?
Kurt Kuehn: Gary, let me reframe that just a little bit. We were down, yes, 6% or 7% in those non-fuel elements, although if you take out the write-off of the DCAs it's actually about 10%. So that is implicit in the other category. But this is against state decline and volume of about 4%, so yes revenue's down dramatically, but a big piece of that is fuel. But we're working diligently on these cost trends and they do continue to get more significant over time. We did freeze management salaries. That kicked in, in March. We did show a dramatic reduction in block hours both domestically and internationally, much of that happened at the end of February. So we're running full speed to match our network and our costs to demand. And as things stabilize, clearly we'll catch up to some of that, but it's a challenge when you see these kinds of really unprecedented changes in the economic conditions.
Gary Chase – Barclays Capital: Is there any way to say you're 50% through it, Kurt, 60%, 70%, 20%?
Kurt Kuehn: I'd be happy to put a number on it. We're going to continue to pursue it and match whatever we can to the conditions.
Scott Davis: Gary, what's really going to drive the improvement I think is as we start seeing volume growth again, which will impact our effective labor wage rate. As we've talked about many times in the past, two years ago we were running with an effective wage rate of 2% increases on much higher contract increases than we have today. Today we're pushing more like 5% effective wage rate increases because of the, as Kurt mentioned in his comments, the seniority levels. I think 88% of our employees now are at high seniority levels.
Operator: Your next question comes from Jon Langenfeld - Baird.
Jon Langenfeld – Robert W. Baird: On the international side you talked about maybe slightly better margin in the second quarter, how does that balance off of the fact that it sounded like weight per shipment dropped throughout the quarter and then you also have Easter, I guess I would have anticipated maybe a little bit more challenging second quarter on the margin side versus first?
Kurt Koehn: Well, clearly the dramatic changes we've made in the air network, Jon, will continue to pay dividends. Typically the second quarter is stronger than the first quarter internationally, although the Easter holiday has something to do with it. So we're not looking for breakthrough quarter-to-quarter improvements. We just feel that on balance the reduction in expense and management of our network will help to offset the slightly weaker volume demands. But we're working hard in that arena and, as we said, we've been very focused on managing costs in the last couple quarters internationally because for the past decade, we've had just nothing but very strong growth. So we've had to shift gears a little, but we're very pleased with the progress.
Jon Langenfeld – Robert W. Baird: Okay, and then on the additional cost savings side, is there anything new there or is it more of the same just at different levels of the organization?
Kurt Kuehn:  No, it's just continuing to look for opportunities with the unprecedented declines we've seen over the last couple of quarters in the economic conditions, it just brings us to looking at new areas and further adjustments in the network. So with the air business probably being the best example as we take down the regional night sorts, concentrate volume through our automated building and Worldport, we find more and more opportunities.
Jon Langenfeld – Robert W. Baird: Okay, then the last question I have is just on the supply chain side. When do you think the LTL business can get back to profitability? Does it need a better environment or I mean if things stay where they're at for the next 12 to 24 months, will it continue to incur operating losses?
Kurt Kuehn: Well, Jon, I guess we're kind of in the LTL I guess to paraphrase Charles Dickens, "It's the best of times and the worst of times." We did take a large impairment last quarter and clearly are very disappointed at the need to do that, but we saw substantial improvement over the course of Q1 as our initiatives, as our technology integration with our customers really demonstrate to them that they can improve processes. So, as I said, we did get, shipments were actually up moderately in March and that's swimming against the tide we think because almost everyone of the competitors that have reported have talked about double-digit declines, at least in tonnage. So we feel pretty good that we're building some momentum. We think we have a very unique value proposition in ease of use. So we're not just waiting for the economy to improve in LTL. We think we've got a company-specific opportunity that will show improving results, although clearly in today's environment, it's more challenging than it would normally be.
Operator: Your next question comes from Tom Wadewitz - JP Morgan.
Tom Wadewitz – JP Morgan: I wanted to get your sense of a little more on the cost side. It seemed like you were a little reluctant to talk about how much you realized in first quarter, but is there a time in the year when you would expect to be at closer to the full run rate on those costs initiatives? Do you reach that in second quarter or does it take a bit longer to get to that?
Kurt Kuehn: Tom, it's just a series of successive initiatives. We initially built 500 million of specific operational initiatives, most of those rolled out by the end of Q1. We did make compensation changes that began to kick in in March, and then this additional set of initiatives will be happening over the next couple quarters. So if things continue to drop, we're going to continue to find new ways to adapt, to take costs out of our network so we operate effectively and can offer customers the best opportunity for value.
Scott Davis: Tom, there will be more initiatives as we go along. As I mentioned in the past in the latest labor contract we agreed to with the teamsters, we have a competition committee that allows ourselves and the teamsters to get together and look at more flexibilities that make us more competitive. And I think the relationships never been better, so I'm confident that team of people will come up with more ideas, better ideas as we move forward.
Tom Wadewitz – JP Morgan: Okay, so how do you think about how much of what you're taking out is fixed costs that won't come back when volumes improve and also the type of operating leverage you could show and margin improvement you could show if you look out a number of quarters and volumes stabilize and then begin to improve. Is this the type of thing where it's easy to see this type of sharp margin deterioration but then when you regain it, it will be very slow? Or given some of the wage inflation it maybe works the other way, when you add part-time people and lower fixed costs base that type of thing you could really show some strong margin leverage coming out?
Kurt Kuehn: Tom, those are a lot of the things we're talking about in our forecasting meetings. There's a lot of moving parts. Some of the things are permanent changes. The expansion of Worldport that allows us to operate a more efficient air network is a keeper. We've added capacity there. It's reduced the number of air craft in the sky. It has allowed us to retire these 40 plus DC-8s. Those are structural changes that will allow us to have both better service and substantially less cost. Some like the wage rates, depending on the rate of growth as it comes back, could kick in reasonably quickly. Our seniority employees are seeing about a 2.5% wage increase, so the inherent inflationary concepts inside this contract are very favorable. But as your growth slows and you don't bring in new employees, it mitigates the benefit of that. So that will come in reasonably quickly. And we've also made structural changes in our organization, reducing the number of districts we have and just trying to become more streamlined in our organization, so all of those will come over time.
Scott Davis: And that's half the equation, Tom. The other half is the revenue side. And clearly we've never seen industrial production numbers as bad as we saw them the last quarter and they won't be probably great this quarter. But inventory levels are getting down to a bare minimum right now, and you're going to start seeing manufacturing, you're going to start seeing heavier products. Whether its end of second quarter, third quarter I can't tell you exactly, but it's going to be a combination. You're going to see the revenue mix get better and the labor mix get better.
Kurt Kuehn: And I guess there is one economic perspective that we also believe in even though we're being pretty cautious right now. But there's a high correlation between the severity of a recession and the speed of the improvement, and given the dramatic declines into Scott's comments stop the inventory reductions, we think there is certainly a lot of latent potential for some rapid improvements when things start to turn the corner.
Tom Wadewitz – JP Morgan: If I can one more wrinkle on that. Is it possible to see, I think you said inflation wage is up 5% when volumes are down so sharply on the seniority, is it possible to see a quarter where if volumes were up significantly that you could have wages effectively down due to mix?
Kurt Kuehn: You've painted probably a scenario there but that's probably at the extreme.
Scott Davis: There's certainly a dramatic decrease from what we're seeing today.
Operator: (Operator Instructions) Your next question will come from Edward Wolfe - Wolfe Research.
Edward Wolfe – Wolfe Research: Why is your guy's domestic air business stronger than your ground right now? You said it's not DHL. That stuff's moving towards ground overall. I mean, FedEx is seeing such a different experience. Why is it that you're seeing that experience and then why is that mix hurting you so much because you gave the weight, a lot of different numbers for weight, but I thought I heard you say domestic package weight down 8, but that was before the DHL which is 50% lighter. So I'm guessing the economy's not bringing it down 8, it's a combination of those things. So within that question I guess I'm asking you is, why for you are you focused on air? Is that something that's going on or why such a different experience from FedEx and then talk about the weight in terms of what you gave versus if you adjusted that for the DHL mix?
Kurt Kuehn: Okay. Let me try to separate those moving parts, Ed. The stronger results in Q1 for the air are significantly impacted by the DHL wins. Granted we won more net after customers migrated their shipping patterns we showed more volume increase to ground than air. But the size of our relative operations, we have over 10 million ground shipments a day and only 2 million air shipments. So on a percentage basis the air was much more heavily impacted by DHL. So it's not anything dramatically unique there. Having said that though, we are very comfortable with the value proposition we can offer in the air. I referenced today that we've expanded zip code coverage so we offer earlier deliveries than anybody else in the industry. We've got a broader set of drivers that are out every day being able to cover middle market and extended areas earlier than our competition. So the DHL impact clearly boosted the air results and that's why we want to be careful not to say that the challenges of the air are over. It's just the relative impact was greater. The substantial reductions in weight we saw were also impacted by the DHL wins. I don't have an exact number for you but we saw a substantial pickup in weight reductions. Maybe a little less than half of that weight impact was probably driven by the DHL volume coming in to the network. So it's a lot of moving parts right now and we did our best to capture the majority of the DHL opportunity. We feel very comfortable that we got more than half of the revenue. We did not focus as intensely on the very light weight packages, many of which might have come from airborne at home, but we do feel pretty good that the volume we got is profitable and as I said, we were able to show improvements in yield for the volume that we brought across.
Scott Davis: Ed, our manufacturing sector was down about 9% in the quarter, which clearly has a big influence on weight and relates directly to the IP numbers we were talking about.
Edward Wolfe – Wolfe Research: But I mean your total domestic volumes were not that weak considering what happened with DHL, and yet with your guidance your domestic margin's going to be even worse next quarter and this is the worst we've seen it as a public company, probably the worse since the strike before you were public. So it implies that maybe you're taking the wrong mix or something's going on with this DHL. How do we think about your volumes are down 4% and your margins are deteriorated dramatically more than that would imply. Is there a pricing scenario as well that's out there that's getting more competitive?
Kurt Kuehn: No, I think pricing is reasonably stable. I did make some references to the fact that we do have still an ongoing process to kind of recalibrate following the spikes in the fuel surcharges. And so there is some work going on to re-establish base rates that may have been deteriorated a bit with the pressure from 30% plus fuel surcharges. Ed, the second quarter is a combination of a modestly weaker economy. We're now into a condition of a couple of years of negative growth, which creates some challenges. We do have Easter hitting April that was not in there last year, and with the substantial declines in our growth the wage rate headwind is offsetting some of the productivity. Most of those things we can work our way through over time, but we are cautious for the second quarter.
Operator: Your next question comes from William Green - Morgan Stanley.
William Green – Morgan Stanley: Just a couple of quick detail questions, Kurt can you tell us what the B2B trends versus the B2C trends were?
Kurt Kuehn: We saw challenges in both. The B2C remains modestly positive and the B2B continues to be negative. So those are really trends that are fairly steady from what we’ve seen the last couple quarters.
William Green – Morgan Stanley: I think it was in, I don’t remember if it was 2007 or 2008 you talked about B2C being about 30%. Is that still a safe percentage?
Scott Davis: Yes, the bill has been growing typically 1% of the 5 per year, so maybe its 31, 32 at this point in time.
William Green – Morgan Stanley: Okay, and then you mentioned the package weights fell in domestic. How did they do in international? I really feel that DHL didn’t affect that, but did the economic changes affect that?
Kurt Kuehn: Absolutely, virtually the exact same trends domestically and internationally, lighter weight, customers coming to us asking, how can I reduce my budget, so in some cases we’re helping them find ways to trade down within our portfolio. So all of those factors are very similar and the scale of the changes are fairly similar, too.
William Green – Morgan Stanley: Okay, and then was the LTL profitable in the first quarter?
Kurt Kuehn: No, it wasn’t, it was underwater. We’ve got to get some continued momentum like we saw late in the quarter to get this thing back on track.
Scott Davis: We do expect improvements through the year in the LTL profitability.
William Green – Morgan Stanley: Okay, and just one last question, U.S. import volumes, how did they trend in first quarter?
Kurt Kuehn: The trend wasn’t dramatically different from January through March, although it was fairly weak. We did see an aggregate for international, a softening over the course of the quarter, both in Asia and Europe.
Scott Davis: One change I think we saw in the first quarter in import is we did see China exports to the U.S. improve, which we had seen some weakness last year and we did see actually double-digit export increases out of China.
Operator: Your next comes from Ken Hoexter - Merrill Lynch.
Ken Hoexter – Merrill Lynch: Kurt, can you talk a bit about, you mentioning the employees being down 10%, I’m sorry, 10,000. If I remember you still have something, a couple hundred thousand that seems to be what 2% or 3%. Can you give an update on the total employees and why are we not seeing that come off a little bit more as far as in line with kind of volume reductions over time?
Kurt Kuehn: Well, we have reduced hours actually in excess of volume reductions, over 5% reductions in hours against a 4% volume decline, Ken. So the headcount numbers are a little more moderate, but the 10,000 for the U.S. operations would be 3% to 4% easily, and in the direct labor it would be closer, so, no, I think we’re moving pretty quickly on that. One of the nice things about how we operate is we do reduce the hours worked on a given day if volume is lighter. It’s not all a matter of just taking people off the payroll, so we flex and float and that’s a nice attribute for both the company and our employees.
Ken Hoexter – Merrill Lynch: But I would imagine there’s still a pretty sizable end fixed benefits and pensions and other expenses associated with that. My follow-up is on the restructured operations. You mentioned that you’ve closed some regional hubs. Is anything major closing, anything, New York or any major cities that you’re shutting down that is a big part of the restructuring, or are these small branch offices?
Kurt Kuehn: Well, the biggest changes were in the elimination of two of our air night sorts in Dallas, Texas and Columbia, South Carolina. In affect, with our expanded capacity in Louisville and the slow economy, were able to concentrate a much higher proportion of our volume through one hub. So you have one aircraft going from a city rather than that city having to send volume to two or three hubs, so substantial benefits from that. And then there’s a number of operational changes all across the country and really the world, Ken, but not anything headline that would stand out as much like that.
Operator: Your next question comes from Chris Ceraso - Credit Suisse.
Chris Ceraso – Credit Suisse: Can you give us a feel for the total capacity in your air network? However you want to measure it and where you think it goes, post taking these planes out and maybe net of whatever new aircraft you’re going to add back? And then as a follow on to that, what does that mean for your capital plan on a normal basis as we go forward. Does this mean you can spend less on a go-forward basis because you are effectively shrinking the air business?
Scott Davis: It’s very difficult for us to respond to total capacity because each lane is different. We certainly pay a lot of attention to the capacity in each lane and that's why we are adjusting and downsizing the network. We are able to do it without reducing service and still save an awful lot of cost. So I know that many times in years past we’ve been asked the total capacity question. It is very difficult because each lane is different, import/export’s different.
Kurt Kuehn: Yes, and you can fly multiple rotations. I guess really the big thing we that have done is over the last seven or eight years we have taken out over 100 aircraft that are smaller and less efficient. So we retired the 727 fleet that we had years ago, frankly, and the DC-8s, which are also at the smaller end of capacity, and we’ve been replacing those. We started the 757 replacement plan almost 20 years ago to take 72s out and we have 767s coming into the network that are taking the place of the DC-8s. So really what we’ve done is we’re way ahead of the curve on that. As we said we’ve got the most modern, youngest fleet in the industry. The future capital requirements for replacements are nil, frankly. The age of our fleet is in the low teens as far as years, and any new aircraft we bring in have larger capacity. Because we’ve invested $1 billion in expanding Worldport, we can fly substantially less aircraft but the aircraft are much bigger, much more efficient, and much more environmentally friendly. So it’s a capital investment we’ve made over the past several years that allows us to get lower CapEx in the future and substantial operating and environmental benefits. So major change, tremendous benefits long-term, it’s a great long-term investment for us and for the environment.
Operator: Your next question comes from Justin Yagerman - Wachovia Capital Markets.
Justin Yagerman – Wachovia Capital Markets: I wanted to just get a better sense of the international package yield. Can you give us a breakout of how much of the decline was currency, fuel, and mix? And maybe go into a little bit of detail on were the currency fluctuations where that impacted that and how you hedge against them?
Kurt Kuehn: Yes, the currency was a substantial factor and on page three of the web schedules we do breakout hopefully with enough transparency there, our results for yield without currency. So whereas our overall international yields were down 15.3%, net of currency that’s 9.3%. And you can see the impact it had on both our non-U.S. domestics and export. So the currency on revenue was substantial and it also had an impact within our forwarding group. We’ve hedged much of that though with some favorable timing on hedging, primarily the euro and the sterling, a couple of years ago. So the P&L impact of the precipitous decline in currency is modest. It is still a little bit of a headwind but it has not impacted the P&L severely. Certainly, the fuel surcharges that have plummeted also reduced our revenue in the international. So there are the same pressures in our international yields of lighter weight and, to some extent, trade down to lower service levels that we see in the US. But in general we’re in pretty good shape in that, and our relative value proposition very high international.
Justin Yagerman – Wachovia Capital Markets: And the currency hedge, that just gets submitted up into the EBIT number?
Scott Davis: It actually ends up a reduction of cost, which ends up coming into the operating income number, correct.
Justin Yagerman – Wachovia Capital Markets: Okay, and then I guess on the LTL side, you guys talked about this a little bit, but tonnage was at least, the tonnage decline was not as bad as many of your competitors have come with and it looks like you guys are gaining some traction there. Can you talk about some of the initiatives that you have taken with the product? How you’re competing in this marketplace, what types of benefits you may be seeing from a large ailing competitor, and what’s going on maybe with length of haul in that segment?
Kurt Kuehn: Yes, we were less bad than most I guess, to torture that phrase. No, we’ve been working very hard to find the right value proposition in LTL that really brings something unique to customers, and we think we are getting to the point were we can work with LTL shippers, help them really get the best of both worlds. The technology that is so productive in the small package environment has been harmonized to work easily in the LTL environment. Our new world ship allows customers to rate shipments both in small package terms and in LTL terms very easily, and then the visibility is there. So the value proposition is getting to be very strong and we’re pretty pleased. We did see substantial market share growth, as we talked about. We believe we are at about 8% market share so over the last several years we’ve gained a couple of hundred basis points of market share. We still want to want to be prudent though. This is a tough environment. Our revenue per hundred weight net of fuel is positive, but it is very tough out there and so we’re trying to strike a balance between market share gain and being disciplined in recovering the costs that we put in for the big investments.
Scott Davis: And, Justin, our package sales force, which is a large force, has done an excellent job of selling freight. And that job has gotten much more effective over the last couple of quarters and is helping to drive that improvement and help performance.
Operator: Your next question comes from David Campbell - Thompson, Davis & Company.
David Campbell – Thompson, Davis & Company: You mentioned that China was having a favorable impact on exports to the U.S. in the first quarter. What about their import activity, which would have been the result of their own stimulus plans, have you seen any growths or any improvement in tonnage or shipments going into China?
Kurt Kuehn: In general, David, I think clearly the exports showed some improvement. We’ve not seen much move on the import side yet. I think we hopefully will see a little bit more as that stimulus program takes place. But generally our U.S. export numbers were disappointing in the first quarter and probably fell off dramatically from where they were the first half of last year. I think that’s typical of the export market right now out of the U.S.
David Campbell – Thompson, Davis & Company: And the second question is I guess Europe though is of course a bigger concern for you since you’re bigger there and Europe is expected to recover behind the United States in your opinion?
Kurt Kuehn: I think that likely, I think their a little bit slower on the stimulus programs from what I understand maybe a little more bank debt exposure than even the U.S. has. So I think there’s some risks in the recovery in Europe. At the same time, we’ve performed pretty well in Europe. Our transporter products were still relatively strong in the first quarter. Our domestic products weren’t bad. Really, the international domestic though was driven mostly by Canada in the first quarter, but Germany wasn’t too bad. So I think they’ll see some challenging times there, but our business still seems to be growing in Europe.
Operator: Your next question comes from John Mins - BB&T Capital Markets.
John Mins - BB&T Capital Markets: When you look at, I know you’ve said a lot about DHL on domestics, but can you add some color on what you’ve seen as far as either core pricing or just market share gains on the international just based solely on kind of going after DHL customers I guess picking on their weakness?
Kurt Kuehn: Yes, John, thanks for that question. That is a top priority for us now and something that our people across the globe are very excited about, that UPS really has a unique capability these days with a substantial integrated presence in Asia, Europe, and the U.S. and the rest of the America’s. And so the value proposition we can bring to customers is the strongest it’s ever been. And as I made brief reference to, we are seeing an increase number of successful bids and so we’re pursuing our advantage across the globe and that’s a chapter that’s just now being written. So we do feel very good that we can uniquely help customers reduce their cost and improve their global distribution and that’s part of the reason your seeing these outsized market share gains.
John Mins - BB&T Capital Markets: Just as a follow-up, looking at the debt issue and the cash flow, I mean you generated so much cash and had such a large debt issue this year. Could you tell me again what the impact on interest rates, the interest expense is going to be and what you’re going to do with that 4 billion that you have sitting on your balance sheet now?
Kurt Kuehn : Yes, the end of quarter balance sheet is a little bit exaggerated because we did secure the $2 billion of term debt at very favorable rates. We also had a substantial commercial paper line and much of that commercial paper was 30-day plus term, so we are ramping that down. The intent wasn’t to load up on cash. We will use that $2 billion of term debt to retire the commercial paper. We just ended with some of that still terming through the end of the quarter.
Scott Davis: What’s not exaggerated though is the 1.9 billion free cash flow, which really is outstanding and, as Kurt mentioned earlier, really 200 million more than a year ago, ignoring the tax refund, and that’s despite a 45% reduction in income, so that’s outstanding free cash flow.
Operator: Due to time constraints, we’ll be taking our final question from David Ross - Stifel Nicolaus.
David Ross – Stifel Nicolaus: A question on the international side, you talked about, in domestic the trade down is pretty easy next day to second day, second day to ground. You also talked about trade down in international portfolio. Is that air to ocean? Is that in Europe any way air to ground? How do you look at that and what has been, I guess the biggest trade down offerings you’ve seen?
Kurt Kuehn: Yes, I think within the forwarding there is some trade down between air to ocean, that’s not as significant for us. We do actually offer a forwarding portfolio of express freight, direct freight and consolidated. So even within our forwarding platform we do offer different levels of service. But the bigger, the more material impact for us is within our express network because we have an integrated air and ground capacity, we really can offer customers an array of choices. If you’re flying from Asia to Europe for example, we don’t have ground routes yet but we’ll be working on that in the future, but you can fly to Europe and it can go that same night through our Cologne hub and be delivered at eight in the morning. It can be slower but still by air, and then it can also get integrated into our transporter Europe network on ground. So, a lot of levers that can be pulled and also every one of those express premium products have a time of day commitment, so it’s that seamless ability to move up and down both in North America and Europe that are really offering customers a way to adapt and save costs if that’s a priority.
David Ross – Stifel Nicolaus: And then last question is I think, Scott, you mentioned protectionism risk at the beginning of the call and essentially called for a continuation of global trade. Is there any areas around the globe that you see as more of a risk to protectionism that others?
Scott Davis: Well, I think that maybe we’re our own worst enemy with that Buy American proposal that we came out with in the stimulus program and we’ve backed off of that an awful lot and so I think it was not protecting us but it sent bad signals to the rest of the world. So, clearly there are a variety of countries around the world that can look at the U.S. and say if they’re going to talk protectionism, we’re going to do the same thing. I’m not going to name countries right now, but I think there are a variety of countries in both Asia and Europe that there are some concerns about it, but I do think common sense will prevail and people will realize how valuable global free trade is and protectionism will go away. Let me wrap up by saying, when Kurt mentioned earlier that UPS has managed through a remarkable 20 recessions in our history, that’s a remarkable number. But we’re absolutely confident that we’ll emerge form this economic downturn stronger, leaner, and more customer-focused than ever before. In addition, we’re now the only company with a truly integrated global network giving us, frankly, the best competitive position we’ve had in years. So with that, thanks for joining us today and we’ll talk to you next quarter.
Operator: Ladies and gentleman, on behalf of today’s time, I'd like to thank you for your participation and thank you for dialing in today. Have a good day. You may now disconnect.